Operator: Greetings, and welcome to NESR Fourth Quarter 2024 Financial Results call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Blake Gendron, Vice President of Investor Relations. Thank you. You may begin.
Blake Gendron: Thanks, Melissa. Hello and welcome to NESR's fourth quarter 2024 earnings call. With me today are Sherif Foda, Chairman and Chief Executive Officer of NESR; and Stefan Angeli, Chief Financial Officer. On today's call, we will comment on our fourth year results and overall performance. After our prepared remarks, we will open the call to questions. Before we begin, I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ, materially, from those projected in these statements. I therefore refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in the press release, which is on our website. Finally, feel free to contact us after the call with any additional questions you may have. Our Investor Relations contact information is available on our website. Now I'll hand the call over to Sherif.
Sherif Foda: Thanks, Blake. Ladies and gentlemen, good morning, and thank you for participating in this conference call. I'm extremely proud of another stellar year that the team delivered in 2024. In the fourth quarter, we once again reached new heights for revenue, EBITDA, and EPS. With robust cash flow generation, we've entered 2025 in a position of notable balance sheet strength, and we've never been better positioned to size the many opportunities that remain in front of us. First, let me reflect briefly on what we were able to achieve over the past year. 2024 was an exceptional year for the company, marked by many key milestones, especially our NASDAQ relisting this past October. This was a fantastic event where we had our management team traveling to New York and celebrate with our investor at the impressive NASDAQ Center at Times Square. Thank you, to all our investors and analysts that attended the event. Operationally, 2024 was a continuation of our unique growth story as we secure new contracts, enhanced our core business, and pushed into new technology frontier with our ROYA direction drilling platform and NEDA decarbonization portfolio. We expanded and deepened our anchor country footprint on many fronts with multiple growth drivers within each country contributing to our near doubling of the overall market growth in 2024. Today, our large core countries expand into Saudi, Oman, Kuwait, UAE, Iraq, Algeria and Egypt. We have achieved record revenue and growth in each, this year. We are positive about the prospects and opportunities into all of them for ’25 and we maintain optimistic about adding more countries to that league in the near future. Best example is Libya, with its recent development. We continue to address all profitable growth opportunities in all the countries where we operate. And we are nimble and agile to act quickly when needed. I will go into more detail in the outlook, but let me first summarize some highlights of ’24 at the country level. In Saudi Arabia which was our fastest growing country, by both percentage and in absolute dollar terms, NESR gained market share, outperformed in several product lines, and started some key investments for the future of our infrastructure. In Oman, where we have the highest market share as a percentage, we maintained our solid execution and gained several service quality and HSE leadership awards, and began to introduce our ROYA direction drilling platform in our recently awarded contracts. We see a lot of runways in this country, despite the stable outlook, we can still outpace the competition by adding new services and gaining share. In Kuwait, I'm very proud of our achievement today. You recall we entered this from nothing six years ago. And today it's our third biggest country with the highest growth potential and percentage with the obvious rig growth tailwinds. In UAE, Algeria, and Iraq, we maintained our steady performance and delivery on our contracts and closed the year near all-time high across both oil and gas basins. The rest of our countries remain solid and saw good margin improvement through the year. Across our entire MENA footprint, we exited the year almost uniformly at record best revenue, strong margin, and cash flow generation. In addition to the natural seasonality of the region, our fourth quarter result is a testament to both continuous improvement across the organization and also the deployment of new innovation that helps us unlock greater efficiency and revenue quality. Stefan will discuss this in great details. Moving to the outlook, I want to comment on both the market outlook for the region and also for our company. Overall, we see sustained and broad activity growth in most of our core countries, combined with secular gas development projects that are moving ahead regardless of global commodity prices, and also frontier opportunities in decarbonization and water. While growth in the region is expected to moderate in 2025 compared to recent years, the fact that the rig count in our four largest countries, which comprise over 75 % of NESR revenue, are at or near historical all-time highs. The total rig count of the MENA region today is far higher than it has been at any time in history. Higher for the first time than the rig count in North America and this importantly is at a time when the oil feed service industry is at its most discipline with respect to CapEx and capacity expansion. With this in mind, let me take a moment to illustrate our outlook in some of our key countries, starting with our largest country and one that remains the most heavily debated by the market. In Saudi, the highly pragmatic decision about a year ago to rationalize all capacity from prior plants was well documented in the industry and activity on the old site has largely stabilized now. In gas, the ambitious publicly expressed target of reaching 50% gas power generation and 50% renewable by 2030 continues to fuel what was always understood to be a fantastic growth story for domestic gas consumption in the Kingdom. NESR remains heavily focused on unconventional gas development in close collaboration with our esteemed customer, and the fruits of this partnership span many aspects of the value chain, including efficient completion delivery, innovation around consumables, and even circular water technologies. In February, NESR announced the groundbreaking of a new operational facility in King Salman Energy Park, known as SPARK, which deepens NESR commitment to continuous improvement in the Kingdom, specifically around its operation in unconventional gas, building the latest frac operation reliability and failure prediction center in the middle of the Jafurah field. UAE is also asserting strong leadership on unconventional gas development, as announced, and they continue with their program to ensure oil capacity of 5 million barrels. There will be potential add to their gas program by the international partner in future, and we are currently engaged at multiple levels in addition to our core business in the country. Stepping back for a moment, the MENA natural gas team extends beyond the leadership of Saudi and UAE. We believe that the region is in the early stage of a broader gas expansion journey, for which different countries are approaching this team from different angles and at varying degrees of urgency and speed. It has become consensus that the global artificial intelligence arms race is materializing, for which vast increases in power supply will be needed to keep up with demand, above and beyond the general energy demand growth that is expected. And that gas will fill much of this incremental demand. What is perhaps underappreciated is that the MENA region can play a central role in the advent of AI, data centers, and high-performance computing, underpinned by high-quality natural gas and the cheapest renewable resource globally. We believe that this natural gas theme only adds to the stability and visibility of continued activity growth in MENA for the foreseeable future. Kuwait is arguably the brightest spot in the region when it comes to rapid growth. And the recent success of the country in adding rigs is a testament to the vision and commitment of its leadership. The desire to reach 4 million barrels per day capacity and the latest discovery of offshore deposit translate to growth projection for several years to come. This month, we signed an MOU with the visionary leadership of KOC to form the first Ahmadi Innovation Valley, AIV, that will feature very few selected service companies to address specific operator challenges in a jointly research and technology excellence and in future would add others to the value chain in one part. Elsewhere, Oman and Iraq remain largely stable in terms of activity. And for NESR, will be areas of focus for new technology deployment, including ROYA, where we have our newly awarded direction drilling contracts in Oman. North Africa is another notable bright spot, teeming with ambition, and especially Libya is exhibiting a remarkable step change in activity and innovation. Over the recent weeks and months, we've spent a lot of time in the country meeting with customers and industry leaders as the country has resumed activity and is calling upon the service sector to partner in many exciting projects. Libya has already added more than 40 rigs on plan to advance oil production from 1.4 million barrels currently to 1.6 million barrels over the medium term with aspiration of 2 million barrels per day in the future. Our thesis of maintaining a calibrated presence in Libya since the start of the company is playing out. And NESR stands ready to drive growth in the country across a diverse portfolio. Moving to the technology highlights in the fourth quarter, beginning with a key pilot milestone for our ROYA direction drilling platform. As previously announced, we successfully executed a flagship single run well board delivery in Kuwait with our RoyaSteer Rotary Steerable, and RoyaSteer measure-while-drilling tool hitting all of our internal performance benchmarks. Combined with earlier success with our RoyaSeek logging-while-drilling tool, we are confident in the commercialization path of ROYA, this year. Our plan is to continue the deliberate, extensive testing in different formation and drilling environments while executing on our contracts in the three countries. Turning to NEDA, we are very encouraged by the innovation and prospect before us and believe that ’25 will be a pivotal year for NEDA expansion and growth. In the fourth quarter, we successfully delivered over 2,000 metric tons of CO2 for the CCS reservoir injection pilot in Indonesia. The country remains highly active across traditional oil and gas, geothermal, and also carbon capture and sequestration, and we are excited for the future there. We also continue to develop our holistic circular mineral and water process in the GCC for which we uniquely have access to potentially valuable brine and are among the few companies actually generating positive results in the field, not just the lab. The water solution that we've adapted from outside of the oil and gas industry, represent the portfolio approach that we are taking to produce water. And our fourth quarter investment in Salttech formalized our strategy around zero liquid discharge to reuse as much of our industry water as possible. However, this produced water evolution doesn't stop just at liquid. Increasingly, the industry is discussing the potential of mineral extraction from the produced water and the recently announced transition mineral joint venture between our largest customer and the largest metal and mining company in MENA region is evidence of this massive potential. Given our piloting work in mineral extraction over the past several years, Nestle is strategically positioned to contribute to cross-sector collaboration, and we anticipate updating the market throughout the year on our work in this area. Just as we take an open technology platform approach to our core service business, we see our NEDA portfolio and access to brine in the field as a platform to plug in additional mineral recovery solution, including the area of direct lithium extraction. I'm thrilled with the potential and opportunities in front of us in 2025 and beyond, following another remarkable year in 2024. Expectation may be low for our industry and sector, but we still see NESR as extremely well positioned within this macro framework and believe that the MENA market could surprise to the upside. More exciting announcement to come, but for now, I'll conclude and hand over the call to Stefan to discuss our financial in great detail.
Stefan Angeli : Thank you, Sherif. Good morning to our audience in the US and good afternoon, good evening to our audience in the Middle East, North Africa, Asia and/or Europe. I'm very pleased to give an update on our strong financial performance for the fourth quarter of 2024 and for the full year ’24. In summary, despite the ongoing macro volatility worldwide and geopolitical uncertainty in the Middle East, NESR achieved stellar results for the fourth quarter of ’24 and for the full year of ’24. First, let's cover revenue. Our overall fourth quarter revenue was a record $343.7 million, which was up 2.2 % sequentially and up 11.8 % year-over-year, outpacing the broader market. Revenue for the full year ’24 was $1.3 billion exactly, up 13.6 % year-over-year, with exceptionally strong activity in the Gulf countries. Now turning to adjusted EBITDA. Adjusted EBITDA for the fourth quarter of 2024 was also a record $87.2 million with near record margins of 25.4%, up 157 basis points on a sequential quarter basis. Full year adjusted EBITDA was $310.1 million, up 18.2% year-over-year, with full year margins up 93 basis points to 23.8%. Interest expense for Q4 ’24 was $9.9 million and full year interest was $39.9 million. Full year ’24 effective tax rate was 20.1%, which included a tax release of $3.8 million. Normalizing for this adjustment implies a full year ’24 ETR of around 24.1%. Turning to EPS, earnings per share is adjusted for charges and credits, was $0.30 for the fourth quarter of ’24 and $1.04 for the full year ’24 which was up 96% year-over-year. The charges and credits impacting adjusted EBITDA and adjusted EPS were made up of primarily of two items in Q4 ’24 as follows. Cost of remediation of controlled material weaknesses which should moderate dramatically after the conclusion of the ’24 audit this month and an impairment of a small investment. Now turning to our cash flow and liquidity, which I'm very proud to discuss as a point of significant emphasis, over the past several years. Our cash flow from operations during the fourth quarter of ’24 was very strong as we generated $46.3 million. For the full year ’24 period, we generated $229.3 million. We had significant customer collections in Q4 ’24 which drove our DSO at year end to a company best. Free cash flow for the full year ’24 was $124 million, a conversion rate on adjusted EBITDA of 40.1%, which was underpinned by strong working capital execution in ’24, on top of strong execution in ’23, despite the significant top line growth in both years. The free cash flow was principally used to pay down bank debt. As a result of strong operating results and good cash flow conversion, our net debt-to-adjusted EBITDA remains below our goal of one times for a second consecutive quarter. And we ended the year at a ratio of 0.89 times. For comparison purposes, we were at 2.8 times at the end of 2022 and 1.5 times at the end of 2023. Our gross debt at year end ’24 was $383 million which represents a reduction of $153 million over the last two years and our net debt was $275 million. Working capital levels remained relatively flat throughout the year despite significant top line growth. Working capital efficiency has greatly improved due to the process and system enhancements resulting in a DSO decrease of 22 days over last 24 months and a decline in inventory levels of 12 % over the same period. CapEx for the full year ’24 was $105 million, which was slightly below budget due to delivery timing on certain pieces of equipment, which will now come in H1’25. All of the above contributed to a significant improvement in the financial return profile of the company during ’24. On a trailing 12-month basis, our return on capital employed, or ROCE, reached 11.6 % in Q4 ’24, a company best and concurrent with our robust growth investment strategy. Now on to housekeeping topics. We've spent the better part of the last two plus years reshaping our back office and the company overall with new and updated processes, procedures and controls, as well as implementing the latest software upgrades to our EPR system. We are very confident that we have demonstrated significant progress on the remediation of our internal control material weaknesses during ’24 and we’ll give a detailed update in our ’24 20-F when it’s filed at the end of March. In summary, operational execution across our key countries remained strong the fourth quarter of ’24, while our updated processes and procedures and controls have transformed the back office and contributed greatly to our working capital efficiency. These drivers combine to generate record results for full year ’24 period with strong revenue growth, strong adjusted EBITDA, and healthy cash flow conversion, the latter of which has been used to pay down debt and strengthen the balance sheet overall. Looking ahead on capital allocation, there are several discrete growth opportunities not currently included in our budget that could require an investment decision around mid-year. It is also worth noting that our expanding base of activity and pushing to larger tender opportunities does require additional liquidity in the form of bid bonds and performance guarantees, which we view as favorable competitive barrier in the MENA region. However, the strength of our balance sheet gives us flexibility on our growth plans and should market conditions change drastically from our current outlook, we certainly could evaluate other capital allocation alternatives, including returns. Anyway, we'll update further on this topic as the year progresses. The outlook for the Middle East and North Africa region remains favorable, upstream spending remains durable, and NESR continues to be focused on its stated goals of delivering profitable revenue growth, execution efficiency, technology expansion, debt reduction, and working capital efficiency to drive future financial performance. On behalf of management, I'd like to thank our entire workforce for their outstanding efforts in delivering these results, together with our directors, shareholders, and banking consortium, for their continued support. The future for NESR continues to look good. Now I turn the call back to Sherif.
Sherif Foda : Thanks, Stefan. Let me conclude by reiterating the key takeaways from the fourth quarter and outlook. First, while the market came into the year with extremely low expectation for the sector, and while the commodity backdrop remains uncertain, we believe that MENA upstream activity will remain a relative bright spot for growth. The gas development theme is central to this view. Although competitive contracts in our business bring multi-year visibility to the company and overall profitability remain healthy, as the sector remains disciplined. We expect ’25 to follow the same seasonal pattern as did in ’24, with first quarter slowest impacted by fewer operating days and the full month of Ramadan in March, followed by a sequential activity build through the year. Overall, our 2025 growth outlook for NESR relative to the market remains unchanged. Second, within the solid MENA backdrop, NESR is extremely well-positioned to outperform due to, one, favorable project exposure particularly related to the broad-based gas development theme; two, our strategic positioning in areas such as Kuwait and Libya, which are expected to lead the growth on a percentage basis. Third, our frontier technology growth leg remains on track, with pilot success in ROYA now duplicated in several countries, and our unique NEDA positioning and investment in produced water mirroring the announcement and commitment recently made by our largest customer and cross-industry partners. Whereas ROYA is expected to be a more linear driver of growth from here, NEDA and our water business represent massive potential that is being defined in real-time, but nevertheless remains a long-term strategy with expected catalysts this year. I would like to close by thanking all of our employees, their families, for an extremely strong close of ’24, and thank our partners and dear customer for their continued support and belief in NESR. With that, I pass over the call to the operator for your question. Melissa?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Anderson with Barclays. Please proceed with your question.
David Anderson: Okay, great. Thank you. Good morning, Sherif, how are you?
Sherif Foda: Good morning, sir.
David Anderson: I wanted to ask you about your outlook in a couple of different ways. Maybe first, can we just start, you see, the region kind of spending patterns over the regions, kind of how you see that playing our during the year? The peers, maybe with one exception and most of the GCC continues to ramp up, almost sort of sites and the oil price, meanwhile OPEC bring back barrels to the market, would there be a further reduction in Saudi, if oil prices languished? So how are you sort of think about of missing pieces during the year and overall, would you expect growth -- over all spending growth in the Middle East like mid-single digit? Is that kind of where you are heading?
Sherif Foda: Yeah, I agree, so just to answer your questions, so yeah, the Middle East, I would say, moderate growth in ’25 compared to ’24. So I would say a single digit growth. And obviously, it depends if you break it into the countries. So Saudi will be a drop in the non-unconventional and increase in unconventional. Kuwait, no difference in growth. So it will be double digit growth year-over-year. And you have Oman, Iraq, kind of stable. UAE will grow again in unconventional, I think the announcement was very clear by ADNOC on the unconventional, which is the 144 wells and the spend of $1.7 billion, this is going ahead. And obviously their capacity, so they will continue to grow as well. And then you have, if you turn to North Africa, then obviously you have the massive Libya growth, which is, again, it's not in double digits, it's in exponential, right? It depends all, there will be question on the budget and how the budget is released. And the funding is transferred from Central Bank to the operator companies for them to be able to execute. However, already, as I said, the rig count is already added by Fort Riggs, which is basically more than triple the rig count, right? So if I look overall, then you look at the region overall, then you're talking about, as you said, low single digits, right? And that's why we always say, at least we're going to double that as we've been doing, and we're going to do the same thing in ’25.
David Anderson : So that was my next part of my question was kind of just focusing on NESR and your position, particularly in Saudi. I was wondering if you could talk about how the mix has changed. So if we think about kind of what's all the news has come out of the last 12 months and it's out of the Kingdom, we've seen a reduction in offshore, we've seen some reduction in the kind of conventional spending, but Jafurah, a different story altogether. Can you talk about how within NESR, how that sort of changed your mix and kind of what's going on there and how Jafurah is progressing and kind of your exposure and how you're thinking about that the next couple of years?
Sherif Foda: Yeah, sure. So if you look at the offshore, I think the offshore, as I keep saying, it was very well-documented going from the 13 million barrels per day capacity to the 12 billion barrels per day capacity. They released the additional rig that they got. So Saudi was at all time high on jet jack-ups, almost 90 or 91. And now they are back to the 58, 59 jack-ups, right? And that's basically the stability of that from here. And the oil, they released as well land rigs based on not needing the additional barrels and now it's stable already, right? So between both, I think from the oil side is stability. Now on the gas, the normal gas, there was not decline. And then obviously the unconventional program is increasing because they are going from 10 -- 8,000 stages all the way to their goal of almost 25,000 stages a year, right? So that growth is going to continue and the plan is on the same path. Now, our exposure as we are obviously involved from the beginning of the Jafurah and then convention, we continue to be part of that. There is a huge potential. Obviously this is going to be tendered, right, as the usual Saudi Aramco. So they already did that on the direction drilling and was awarded for all the rigs that they have. And now they are going to do the same thing for the completion. And there will always be multi awards. So that will be known sometimes in the second half of the year or maybe the end of the first half. So definitely our position will depend on the results of that. But so far we look quite positive about it. Now, if you look overall of Saudi and the OPEC, again, I mean, I think the OPEC, the way people always understand it or misunderstand it is, the announcement is basically saying, I am going to be able and I have the agility and ability to add oil if, when and when needed, right? So there is no constraint. They start from, as they mentioned in April, but it's not like they are going to go, let's go and flood the market and get an oil price of $50. It's not going to happen, right? I mean, all these countries need oil price a minimum above $60. And they are not going, in my personal opinion, allow the oil price to go below that. So which means that they just want to give themselves the opportunity if geopolitics or a country is out of production, they will be able to make up that difference, which means that they prevent the oil price basically to go back to $100, $120 and meaning that they have that capacity. And everybody knows the country that holds that is Saudi Arabia, really, right? So they have that 3 million barrel and they will be able to replace any oil that gets out of the market. So, and I think that's where the strength of Saudi compared to everybody else. In addition to that, and that's what people, again, in North America, sometimes they under appreciate, this is conventional not unconventional, right? So today, let's say they need to produce 12 billion barrel consistently, they can. And they have that agility and ability to add rigs in case oil price goes, let's say, to $90, $100, and they need to sustain that for a long time, that they can add those land rigs at a very fast time. And obviously, this will be, again, very positive to us, right? So it's activity, which means an increase in activity. But we are not obviously betting on that at all. What we are just saying that Saudi has that ability to go up and down, they have the capacity. And the announcement of OPEC, in my opinion, is not to flood the market and lower the oil price. On the contrary, it's just to say, we are ready to replace any oil that gets out of the market.
David Anderson: Very helpful, Sherif. Thank you, if I could just squeeze one more in here. I just want to, you can talk about your capital allocation program here, a little bit from a bigger picture. It sounded like there's potentially still some M&A out there. Are you more likely to spend capital internally on building out technologies or product lines? Or are you thinking more about your footprint? How are you thinking about NESR over the next few years in terms of strategically where you want to go?
Sherif Foda: Yeah, so as Stefan explained, we obviously, we need to spend our capital, our CapEx, obviously, for the growth. As a company, we continue to grow, so we spend our maintenance CapEx plus our growth CapEx, which could be quite significant, which is good, because that means that we're going to grow even faster. And we continue to look at our platform of technology. So we are not looking at a big M&A in geographical because we are now in all the countries. We're very pleased and happy to be solid in our core countries and outside. And we surely want to enhance our drilling platform ROYA and our NEDA decarbonization. So from that technology aspect, we maintain that agility, and we're obviously looking at some very, very unique and innovative solution, especially on our advanced piloting of mineral recovery and direct lithium extraction. Today, if one of these projects becomes really economical and successful, it's massive, right? So we need to have that ability to acquire some of the technology partners that we are teaming with, or just add to some of these projects in a bigger way. So I think that's where we are going to see over the next couple of months, how we are progressing with that. On the same time, on the direction drilling, we're obviously spending on extensive testing, and we want to add as well some very key features that some of it is very unique to some of what we call like a VC type of investment. And some of those very innovative, we might add them to our portfolio. Now, if I look at that and how we produce our cash flow, we are going to obviously in the second half of the year, re-look at the entire cash flow that we produce, the M&A portfolio, the platform, and then we determine, should we start to do a program like share buyback or dividend or something like that. We will definitely look at that towards the second half of this year.
David Anderson: Thank you very much for taking all my questions, Sherif.
Sherif Foda: Thank you, sir.
Operator: Thank you. Our next question comes from the line of Arun Jayaram with J.P. Morgan. Please proceed with your question.
Arun Jayaram : Yeah, good morning, gentlemen. I wanted to see if you could elaborate a little bit on the margin performance in the fourth quarter and thoughts on potential margin progression in 2025, understanding there's typically some seasonal factors in 1Q, which is cited. But just wanted to see if you could address kind of your confidence that these types of margins could be sustainable and anything about the 2025?
Stefan Angeli : It's definite. We had very good margin performance in Q4. Our service quality and operational execution was very, very good, right? And when you have very good execution and service quality, it improves the margins, right? In 2025, we expect that the margins will track ’24, right, and be very similar to ’24. As Sherif said, we think we'll have high single-digit growth, right, in ’25? But there'll be more competition in ’25 and so we expect the margins to track 2024 quite consistently.
Arun Jayaram : That's helpful. And just maybe my follow-up, Sherif, I was wondering if you could elaborate on commercially what's going on for NESR in Kuwait. You highlighted how you'd been selected amongst a small number of operators. I was just wondering if you could highlight some of the work you're doing for KOC, and perhaps you highlighted an offshore discovery, which kind of wanted to see if you could maybe elaborate on their plans to develop that.
Sherif Foda: Sure. So Kuwait is, as I said, is the very bright spot. Obviously, you started kind of later than the growth that happened in the other countries. And now you see Kuwait above, you know, it's 200 rigs. People don't even know that, right? So very, very, very strong activity, rigs are drilling. They have, they formulated their vision, which is 4 million barrel capacity from the current 2.5 million barrels, 2.6 million barrels, which means there is a lot of add, right? So that's, and people, again, that know Kuwait, Burgan, which was the second, it's the second largest field in the world, is obviously maturing, but it's producing a lot. And then now they have a lot of other projects around. They have achieved an offshore discovery, which is very, very strong. I mean, Kuwait has always been, since 1938, a land business. And now they just found two, the first two wells, I would say, from an explorationist, that means it's a huge success, it's 100% success. So they drilled two wells, the two wells of discovery. And one is estimated to be around 3 billion of deposit. And the second one is 1 billion of deposit. One is shallower or closer to the land than the other. And now they are on well number three. The plan is six wells. This was always, as the program have been, six wells, and then they're going to go to, depending on, obviously, the delineation, and how do they -- going to see how this development would be. And for people, again, to appreciate, in the Middle East or the NOC, they look at this as a very long-term view. They don't look at this as short-term. So the plan would be, can I produce 100,000 barrel, 200,000 barrel consistently from that? How many jack-ups I need? What's the platform? And obviously, it's going to be a big tender at that time. And obviously, they're going to formulate, is it, I mean, today, that contract is run as kind of an integrated contract. So now, I think it's going to definitely move to a rig contractor alone, and service company, as they do in most of the offshore. But because it was new, so KOC wanted to have that in a concentrated basis. For us at NESR, as I said, we started this, I mean, in Kuwait, when we did this, we formed the company and we refused them. They had no presence in Kuwait. And today, as I said, it's our third largest country. And we have a lot of contracts now. And we make sure that it is what I call the anchor country, which means that I want to have at least 10 to 12 product line. And we are heavily tendering in 2025. I think almost all the contracts will be tendered. So we need to -- we secured already a couple and we need to add more. So our plan is to add more contracts to that and make it, I think, we'll have the path to be the second largest country in our portfolio. I think it's going to be bigger than Oman. So, and that's where we want to make sure that we have a very good setup and a good infrastructure. And part of that, as we do on all the countries, we develop technology with our customer, and then we are part of that ecosystem as part of the plan of KOC, of KPC, of the vision, of the quantization, adding people, etc. So KOC chose five companies to form this, what they call the AIV or Ahmadi Innovation Valley, similar to the Dhahran Techno Valley in Saudi. So they made, they going to -- they assigned a big space in Ahmadi and 250,000 meter, and then they're going to put companies. So we were one of the five chosen from all the companies in the industry and we are going to build what we call the innovation center. We will have technology partners. We'll have some research projects jointly done with them. And we will look at the challenges that they have, and that's how we will select it. They showed us the challenge they have on the future. And we told them what are the answer product and they liked what we have. So we are part of that. What will this bring you? Obviously, some people say, okay, what does it mean? It means some of it will be direct awarded contracts. Some of it would be obviously, again, joint research with the client, which makes you part of that ecosystem embedded in the country DNA. And I think that's how you grow in that business, right, so we're very excited. We have a fantastic relationship with their leadership, and we're looking forward to really make that a huge country for us.
Arun Jayaram : Great, thanks, Sherif.
Operator: Thank you. Our next question comes from the line of Jeff Robertson with Water Tower Research. Please proceed with your question.
Jeff Robertson : Thank you, good morning. Sherif, as the emphasis on unconventional resources grows, will that have any material impact on the product mix and the margins for NESR?
Sherif Foda: Well, I mean, today we have the unconventional in our mix, obviously, and this will continue. It's basically like the United States, it's a big frac business. So the difference would be as the activity grow and the efficiency improve, you continue to kind of try to maintain -- what I call, try to maintain the margins while the cost is increasing, but the efficiency try to offset that increases. So in the future, that's what we are planning to do, same way, more efficiency, more technology. Today, Saudi Arabia, Jafurah is state of the art. And a lot of people as well question would Saudi be able to have efficiency of the permanent? Yes, they do, right? So Saudi Arabia is at that level, pumping at 22 hours, 23 hours a day, multi-stage, dual frac, etc. So all the latest is there, and obviously the efficiency keep improving. So today, in some cases, we do 18 stage a day, 19 stage a day. Some of other technology we are bringing, we have partners with the US, and that's basically how you maintain that improvement in efficiency and trying to get the reduction in cost to be able to maintain economical for that cost curve, right? In addition to that, in the same field, we are trying some new stuff along with our customer on the water, right? Which I think, I'm still such a big believer that the industry should do a better job in reusing its resources. So and that's how you recycle the water, try to get the minerals out. If you get some products out of that as well, you sell it so that improve your margin and as well contribute to the climate. And I think if we do that, we would be able to maintain and even improve the margins in the future because we are adding new business to that platform.
Jeff Robertson : Secondly, on the ROYA platform, what's the pathway to continue to test that and ultimately be able to use that technology in new contracts? So the ROYA Steerable business is a very, I would say extensive testing if you do it in a very reliable way. So today our ROYA platform, which is the RSS Rotary Steerable, MWD, LWD is what I call a success technological. So the technology works. We proved it. We proved it in the US 70,000 feet drills. Now what you're doing is you go through a very deliberate extensive testing that is very rigid. And every time you pass a stage, you go and you test everything. So for example, our RSS today, after the wells and after the drilling that we did, we bring back those tools and we test, we do it like a destructive testing, check everything, make sure that we believe and we know how the tool is ruggedized, how it will be able to drill in different formation. Then we send it and do another test or another job. All these jobs, obviously, once we know it's drilling exactly like the competition or like the market, we charge for it already, right? So as I said, we have this good outcome that we have contracts already. So we are delivering on those contracts. So I would say by H2, by the second half of this year, we'll be able to determine now everything is commercial and they are reliable. We'll obviously always have some teething issue, but the tool is reliable enough to be a market standard to call it a commercial tool.
Jeff Robertson : Thank you for taking my questions.
Sherif Foda: Thank you, sir.
Operator: Thank you. Our next question comes from the line of Arvind Sengar with Geosphere Capital. Please proceed with your question.
Arvind Sengar : Thank you. Good morning, Sherif. Question on the valuation gap between where NESR is valued and similarly positioned serving the same markets in Middle East and a little bit of North Africa that are listed in the Middle East are valued. I mean, it's a valuation gap that you can drive a truck through. So any thoughts on how you might be able to close that gap?
Sherif Foda: Well, very good question, Arvind. I mean, I wish I understand the market. Our growth story is obviously very unique and we continue to do the same. I think maybe it's a bit underappreciated. If I call on the Middle East, obviously, if that's your question, on the companies that are listed in the Middle East, obviously they are well positioned like ADNOC Drilling, ADC, Ades. These are the three, I would say, the companies listed there. And definitely it's something we're looking at extensively. We looked at it in the past. There is, for people to, again, appreciate, there is no fungibility between the exchange, any exchange, actually, in the Middle East and any exchange in the US or in Europe. So what you have to do is you have to do ADRs or if you do, do a listing. Or at a certain point of time, if you can say, as you said, or as you are asking, the disallocation totally, definitely you look at new ideas, right? Should you list there and should you do something different? But so far, we are on the course to see. I think we, people, I think maybe you need to appreciate us more on the NASDAQ or in the US. And it's something that we're going to monitor while we are keeping the dialogue with our friends and folks in the Middle East listing agency.
Arvind Sengar : Understood. And one last question. The warrants, I didn't see anything in the press release. Are those expiring this summer?
Sherif Foda: No, we extended the warrants until June ’26. It's not in the press release, but it will be in the 20-F. So it is public that we extended them to June of ’26.
Arvind Sengar : Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from John Ajay with Occam Crest Management. Please proceed with your question.
John Ajay : Yes, hi. I'd like to see if you can quantify a base case for overall weighted average market growth for 2025 and a base case for NESR growth. But more importantly, I'd like to understand your level of visibility and confidence in delivering that level of base case NESR growth. And what are some of the key assumptions that could swing it one way or the other, on oil prices or geopolitical developments? And as far as oil prices go, my understanding is, and I'd like to see if this is correct, is that 80 % of your business is not oil price sensitive. But I'd like to understand what would be an adverse oil price scenario that might cause overall market growth or your growth to be a little lower and how much, you know, what is that sensitivity? And then I'd like to understand, you talked about there being some exciting growth opportunities and you want to see how some things play out on deploying capital in those organic opportunities. I'd like to understand on top of this base case, how significant could some of these opportunities be in terms of layering significant revenue on top of this base case?
Sherif Foda: Thanks, Ajay, obviously a lot of assumption here. So let me try to answer all your questions. So the MENA region growth ’25 over ’24 would be anywhere depending on who you talk to, depending on the assumption that you have, rigs are coming on time, some of the project gets delayed, etc, we are talking about 3% to 4%. And I would say minimum we're going to do is 8% to 10%. Right? So that's the growth profile we see ourselves versus the other. Why? Because we have that luxury of being small. So if you are small and you have contract that you have the visibility of those contracts, you add new contracts to it and then you make the math, you're going to make it, right? So if you are 10% of the market being, growing is not that hard versus if you are 50% of the market is going to be very difficult because you'll have to follow the market. The best example of that, as I keep saying, is our position in Oman. So in Oman, we are very big and in terms of percentage, we are, I would say, the third largest service company. And we grow with the market. We don't outpace the market. When we outpace the market, we outpace the market if we win a new service line that we don't have, which is today we are tendering a couple of contracts that we don't have. If we win them, we will outgrow the market even in Oman, right? Now, on your assumption of the oil price, I would say that's my personal view, that the oil price will maintain in that range, $60 to $70, which means that this is basically all the assumption and all the budget of all our customer and all the countries where we operate. Remember the country’s main source of revenue in the Middle East is oil and gas. So they plan their budget based on that. So I don't think that they will let the oil price go to as people think below $50 or whatever. And let's say that it does happen. And just I think that's your second question. If that happens, yes, definitely they are going to curtail production. They are going to shut down some business, some added. a project that they don't need now because they can produce and because if it goes below $50 that means that there is a massive surplus in the market and demand is not coming back and China is not recovering which means that oil price -- so they will ask for price reduction and they will curtail some of the business. It means that will affect, for sure it will affect our business and affect everybody, right. But again, if you look at MENA overall, that's the whole theory of the business. It never had that kind of downturn that you have in North America, which is like a meltdown. It doesn't have that, right? So you're going to get a reduction would be flat instead of growing. Our margin drops to 300 basis points, right? Now, on the sensitivity on the gas, we have, obviously the Middle East now is our revenue, I would say, almost 50-50. So the gas program is going to continue regardless of the oil price because that's an internal consumption. It is not for LNG, it is not for export, it is for internal consumption. And all of them have that kind of objective of having their internal consumption is made out of gas and renewable and they want to stop burning liquid. And especially in the summer months where the air condition is really heavily used and they use a lot of it. And I tried to mention as well that they are going very, very heavy on data centers and AI. I was just in, CERAWeek, met with the leadership of UAE and Saudi, and they put this in their presentation, massive, massive growth in gas. They're talking about 70% more, which means that's a lot of projects and a lot of gas to be burned, obviously, to make that leadership that they want to have on AI. I think I answered all your questions. You had one on the capital. I mean, there is so many opportunities that we are working on. I would say we would know sometimes by the second half how much of all these projects turning out. And then obviously, we finish our tendering process as well, so we know how much CapEx, how many new contracts we get. I mean, we just tendered several contracts in several countries. I think we're going to get a positive indication on couple of them, which is new to us. And definitely we are going to deploy, which is new, something good for the growth. Now, as I said, the second half, once we evaluate all these projects, and we look at our cash flow. Definitely, Stefan is going to look into details as well with the refinance and everything. And we'll see, should we start to do a capital return program as share buyback or dividend or whatever. We're definitely going to announce and seek obviously Board approval and all these things and announce it sometimes in the second half.
John Ajay : Great. Well, thanks for the update. Really appreciate it.
Sherif Foda: Thank you, sir.
Operator: Thank you. That concludes our question-and-answer session. I'll turn the floor back to Mr. Foda for any final questions.
Sherif Foda: Thank you very much. We really appreciate your time, appreciate your belief. And again, I’d like to thank you all for your support and belief in the journey. Thank you, very much, very excited for ’25. Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect your lines at this time. Thank you for your participation.